Operator: Hello. Good morning, and welcome to the Xeris Pharmaceuticals Second Quarter Financial Results. My name is Gemma, and I will be the call operator today. [Operator Instructions]
 I will now hand you over to our host, Allison Wey, Senior Vice President of Investor Relations. Please go ahead, Allison. 
Allison Wey: Thank you, Gemma. Good morning. Welcome to Xeris Pharmaceuticals Second Quarter 2021 Financial Results and Corporate Update Conference Call. A press release with the company's second quarter financial results was issued earlier this morning and can be found on our website. We are joined this morning by Paul Edick, Chairman CEO; and Steve Pieper, our new CFO. Paul will provide opening remarks, Steve will provide details of our financial results and then we will open the lines for Q&A. John Johnson and Rich Kollender from Strongbridge will also be available to answer select questions. We would like to remind you that the Strongbridge transaction is subject to the Irish Takeover rules. And as a result, we may be restricted from answering certain questions. 
 Before we begin, I would like to remind you that this call will contain forward-looking statements concerning the impacts of COVID-19 on Xeris' business practice, Xeris' future expectations, plans, profit, clinical approvals, commercialization, corporate strategy and performance, which constitute forward-looking statements for the purposes of the safe harbor provision under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including the effect of uncertainties related to the COVID-19 pandemic on U.S. and global markets, Xeris' business financial conditions, operations, clinical trials and third-party suppliers and manufacturers and other risks, including those discussed in our filings with the SEC. In addition, any forward-looking statements represent our views only as of the date of this call and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligations to update such statements. 
 I'd like to turn the call over to Paul. 
Paul Edick: Thanks, Allison. Good morning to everyone who's listening. We appreciate your interest in Xeris and our discussion this morning. Xeris had a very strong second quarter, especially with Gvoke following a strong first quarter and maintaining momentum with our -- with what is clearly our #1 priority. We've shown steady and consistent progress in all leading indicators for the core business. We also announced a major move in the process of transitioning our business to a commercially focused rare disease and specialty pharma company as well as a number of other key achievements. 
 I'll start with a few highlights. The major highlight of the second quarter was the continued strong demand for Gvoke, driven by the HypoPen sales, as evidenced by impressive increases in several key metrics that I'll share with you shortly. Equally important was the announcement of the proposed acquisition of Strongbridge Biopharma, a major step to becoming a more commercially focused, rare disease and specialty pharma company, which we'll discuss in more detail as well in my follow-on remarks. 
 We also found in Tetris Pharma a great U.K. and EU partner to prioritize the commercialization of Ogluo in that territory. We received FDA approval during the quarter for an extended shelf life of the Gvoke 1 milligram HypoPen and prefilled syringe, moving from 24 months to 30 months at room temperature. We renegotiated our Oxford-SVB venture debt facility to extend our cash runway. And based on feedback -- FDA feedback, we determined it was best to terminate the mini-dose post-bariatric hypoglycemia prevention program and advance our micro-dose, exercise-induced hypoglycemia prevention program with an interim Phase II study in a broader diabetes population, which we'll talk further about as well. 
 Let me start with Gvoke. Since the launch of Gvoke HypoPen, a strong foundation has been built and our growth is beginning to accelerate. Although overall market growth is not yet back to pre-pandemic growth of 20% to 30% that we have seen, the market showed modest growth of 5% in the second quarter. However, our market share in the second quarter improved by 18% from the first quarter and is now approaching 16% of the new prescription market at the end of June, significantly outpacing the overall glucagon market. 
 We do see modest signs of acceleration, driven by the innovative ready-to-use brands like Gvoke. Compared to the first quarter, Gvoke prescription volume was up 32% in the second quarter. Gvoke unit sales to wholesalers and direct customers were up 36% in the second quarter, and net sales were up 10% in the same quarter. We've also increased the number of unique prescribers of Gvoke by 30% in the quarter. 
 The end result was a very strong performance at the gross sales level not fully reflected in our net sales number, only mostly to our gross to net being negatively impacted by: one, continuation of the $0 co-pay, which we think is extremely important; and two, wholesaler and indirect returns of the PFS product that was sold prior to June 2020. We don't see returns as a recurring event, especially for the 1-milligram HypoPen, which, as I mentioned, now has 30-month dating from manufacture. 
 With our expanded sales force with approximately 135 customer-facing people, including our inside sales group, we are now able to target approximately 20,000 endocrinologists, pediatric endocrinologists and top decile primary care physicians. We're seeing momentum in our effort to expand ready-to-use glucagon prescribing to the 6 million-plus insulin-taking people with diabetes who currently don't carry glucagon. We've developed and are currently launching an integrated campaign to pediatric endocrinologists during the fast approaching critical back-to-school season. These physicians drive the natural periodic third quarter spike in glucagon prescriptions. 
 Of course, this is assuming we have a more normal back-to-school this year. As we see COVID resurging again due to the Delta variant around the country, we're closely monitoring the nature of in-person school reopenings around the country, and we'll be anxiously awaiting children returning to school. We'll see what looks like. 
 Turning to Ogluo in our European glucagon brand. I want to remind everyone of our approach and process with Ogluo in the U.K. and the EU. We originally viewed this ex-U.S. territory as having very limited potential based on reimbursed pricing of the legacy Novo kits. In fact, we had analyzed and reported that we'll be losing proposition to launch anywhere in the region and then reimbursed prices -- after then, reimbursed prices of the legacy kits. Therefore, our going-in assumption was the only viable strategy would be to launch in a select few countries for the self-pay market only. We were thus not looking for a commercial partner, but rather contracted distributors in select markets. 
 What changed in early 2021 was the successful -- the success of the Lilly launch and the levels at which they're getting reimbursed pricing in many countries as well as the higher-than-expected prices people are paying out of pocket in countries where Lilly is not yet even reimbursed. As a result, and since Ogluo's approval in the EU in February of 2021 and in the U.K. at the end of April of 2021, we had several inbound inquiries and also started our own outbound partnering outreach. 
 Speaking with several potential partners. Our priority was getting a partner who would prioritize Ogluo and put the kind of time and attention necessary into making it a success in the territory. Essentially, for Ogluo to get the attention it deserves, it needed to be in the hands of a company for whom success of Ogluo would be -- Ogluo, that is a hard name to pronounce -- for whom success would be absolutely critical to their overall success as a company. And as you know, a few weeks ago, we announced that we had found, in Tetris, a great partner. Tetris is a U.K.-based company founded by a leadership team of complementary and highly experienced individuals from U.K. and international pharmaceutical companies. They're scaling up in the U.K. for launch, and they're expanding across the EU. We're also very excited by their entrepreneurial approach to their organization. 
 Starting in 2022 and over several subsequent years, Tetris could potentially receive up to $71 million in payments tied to the first commercial sale and other time launch and sales-related milestones as well as collecting a mid-single-digit royalty on net sales. Tetris anticipates that Ogluo will be available in the U.K. later this year and launched subsequently in additional countries as individual country pricing and reimbursement is secured. 
 Now let me provide an update on our mini- and micro-dose, ready-to-use glucagon programs. As we've reported, we've spent the past several months in dialogue with the FDA trying to find a reasonable clinical pathway in order to advance our ready-to-use mini- and micro-dose glucagon programs. 
 As you recall, that is prevention of post-bariatric hypoglycemia and prevention of the exercise-induced hypoglycemia, both into Phase III. We've gotten all the feedback we need and have made decisions on both programs. In short, the new FDA requirements for these programs to enter full Phase III development are far too costly and complex for us to contemplate any Phase III work at this point on either program. For PBH, we have discontinued further clinical development. For EIH, based on FDA feedback and specific underlying data requirements, we will develop and execute an additional Phase II study in prevention of exercise-induced hypoglycemia to examine the efficacy and safety of long-term use in a broader range of type 1 and type 2 patients. That -- patients that exercise at least twice a week. We will anticipate initiating the study in early 2022. 
 Now on to the rest of the pipeline. With our intensified focus on the commercial business, especially with the anticipated close of the Strongbridge Biopharma acquisition, we are reprioritizing our approach to our pipeline, and we'll focus our development efforts going forward, solely on products for our own potential commercialization. 
 Now what do I mean by that? First, like our liquid stable diazepam and pramlintide-insulin combination, we're never intended towards Xeris development beyond Phase II. The intent was to develop these products to, first, prove that our XeriSol technology was applicable beyond glucagon; and second, to out-license them for further development to other companies. We've clearly, with these products, proven the technology is broadly applicable. 
 However, the competitive landscape has changed rather rapidly making out-licensing more difficult. That said, we will continue to look for development and commercialization partners to advance both of our XeriSol pramlintide-insulin co-formulation program and our diazepam program. Our goal is to find suitable partners. However, we will otherwise not spend additional resources on advancing these assets. 
 We will continue to advance our 2 undisclosed programs in endocrinology and gastroenterology as they have high potential for development and commercialization in our primary area of current commercial focus and an adjacent therapy area in which we have a development program underway. We will also continue to look for partners and/or out-license our unique technologies to companies for whom our formulation science may create a competitive advantage. We currently have 3 such programs that continue to advance in proof-of-concept, and all in the top 10 pharma companies, and we're in discussions on additional potential projects as we speak. 
 Now I'd like to spend some time discussing the Strongbridge Biopharma acquisition and revisiting why this is the perfect combination in our mind for Xeris. First, by bringing Xeris and Strongbridge together, we're creating a scalable and diversified biopharmaceutical company increasingly oriented towards more specialty and rare disease products. We will have a stronger revenue base with 2 rapidly growing assets, Gvoke and KEVEYIS. We will also have the opportunity for a near-term launch of RECORLEV. And subject to FDA approval, we will be well positioned to leverage Xeris' experienced, endocrinology-focused commercial infrastructure to bring RECORLEV to market. 
 Our commercial footprint in endocrinology is larger than Strongbridge had envisioned for the launch of RECORLEV, enabling a greater potential reach at launch. We will also have an overall more robust rare disease and endocrinology-focused commercial infrastructure into which we can add additional products benefit in a broader range of patients. 
 We also expect that new products will be brought forward in these therapeutic areas using our unique formulation technology platforms to put into our larger and scalable infrastructure for continued development of specialist-oriented and rare disease products from XeriSol and XeriJect. Furthermore, with a stronger financial and strategic foundation, we see the potential opportunity to participate in the consolidation of commercial and late-stage products and companies focused on endocrinology, neurology, gastroenterology and rare diseases. We also have the potential to realize significant synergies and substantial cost avoidance. And importantly, we believe this combination will provide significant benefits to all of our stakeholders and will position us to drive enhanced value for shareholders.
 Now transitioning to our finance specifics of our quarter, I want to talk just briefly about the change in our CFO. In April of 2018, we were readying for our IPO. It was important that we have a finance leader who could build the team we would need as a new public company and guide our financing debt and reporting efforts as a development-stage company. Barry Deutsch stepped into that role and has built a superb team that stewarded our finances for the last 3 years, culminating in the pending close of the Strongbridge acquisition. Barry and I believe the next stage for Xeris as an increasingly commercially focused, larger and more complicated company needs the appropriate leader out -- of our finance team for that stage. 
 Barry has been mentoring Steve Pieper for several years, and Steve has a significant background in commercial finance. We believe Steve is what Xeris needs for the next stage of our development. And as such, has recently been tapped to succeed Barry as our CFO. I want to thank Barry for everything he's done for the company. And I want to welcome Steve to the role. And now I'll turn it over to Steve to review the highlights of our financial performance. 
Steven Pieper: Thanks, Paul. Good morning, everyone. I'm pleased to meet you all virtually today, and I look forward to future opportunities to engage with everyone. Being the CFO of Xeris is an exciting opportunity for me personally. And I look forward to sharing the positive developments at our company both today and in future company updates. My remarks this morning will focus on a few of the key financial results, the details of which are in the press release issued earlier this morning and our 10-Q that will be filed later today. 
 As Paul said, we had another strong quarter from a Gvoke revenue perspective, reporting $8.8 million in Gvoke net sales in the second quarter, which is up approximately 10% from the first quarter of 2021 and up approximately 345% from the second quarter of 2020. The $8.8 million of Gvoke net sales was driven by strong demand from our wholesalers and other direct customers, with Gvoke unit sales up 36% from the first quarter of 2021. As Paul mentioned in his opening remarks, the second quarter Gvoke net sales of $8.8 million included adjustments to the accrued returns reserve related to prior year sales and based on the actual returns experienced that decreased revenue by approximately $900,000. 
 Gvoke net sales on a year-to-date basis through June 30 was $16.9 million, which is an increase of approximately 360% versus the 6 months ended June 30, 2020. As you may recall, in Q1 of this year, we recorded an adjustment to rebate and patient assisted co-pay accruals which were recorded in prior years based on actual claims experience. This adjustment increased revenue by approximately $900,000 in Q1. There is no impact to net sales on a year-to-date basis as a result of the Q1 adjustment and the returns reserve adjustment in Q2 as they offset one another. 
 As we move down the P&L, cost of goods sold for the second quarter of 2021 was $3.4 million, which included primarily standard costs for products sold in the second quarter. This is up from $1.3 million from the same period in 2020. And this increase was primarily driven by higher unit sales in Q2 2021 in comparison to Q2 2020. 
 Turning our attention to expenses. Total operating expenses increased by approximately $8.4 million in the second quarter to $31.3 million compared to $22.9 million for the same period in 2020. This increase was primarily driven by increases to selling, general and administrative expenses of $8.3 million. R&D expenses for the 3 months ended June 30, 2021, were $5.4 million compared to $5.3 million for the same period ended June 30, 2020. The increase was primarily driven by higher pharmaceutical process development cost of $1.1 million, partially offset by lower personnel-related cost of $0.8 million due to lower headcount. 
 Selling, general and administrative expenses increased by $8.3 million for the 3 months ended June 30, 2021, in comparison to the 3 months ended June 30, 2020. This increase was driven by several noteworthy items, including transaction-related expenses of $3.9 million related to the pending acquisition of Strongbridge Biopharma; an increase of $1.8 million in personnel-related costs due primarily to an increase in sales force headcount; and an increase in marketing and selling expenses of $1.2 million. 
 We anticipate that we will continue to incur expected transaction-related expenses up through and beyond the potential close of the Strongbridge Biopharma acquisition in early Q4. 
 Moving on to debt. At the end of the second quarter, we had debt totaling $90.7 million, consisting of $47.2 million of convertible debt and $43.5 million under our senior credit facility with Oxford and SVB. As announced in May, we amended the senior debt facility, allowing for extensions of interest-only payments for up to 12 months to January 2023, subject to achievement of revenue milestones. The extensions allow us to delay principal payments of up to $17.4 million. We currently expect to achieve each revenue milestone and have, therefore, classified the amounts due as noncurrent on our balance sheet as of June 30, 2021. 
 Net loss for the second quarter of 2021 was $27.5 million or $0.41 per share compared to $24.1 million or $0.63 per share for the same period in 2020. 
 Moving on to cash. As of June 30, 2021, we had total cash, cash equivalents and investments of $116 million compared to $133.8 million at December 31, 2020. Based on our current operating plans and existing working capital at June 30, we believe our cash resources are sufficient to sustain operations and capital expenditure requirements for at least the next 12 months. Revenue from current marketed and potential future marketed products will determine when we will be cash flow breakeven. 
 To summarize, we had another very strong quarter of Gvoke revenue. We continue to have a healthy balance sheet with a recently renegotiated debt facility that set Xeris up very well to fund the commercial infrastructure necessary to drive continued Gvoke adoption, fund our R&D pipeline and lastly, fund our overall corporate infrastructure, necessary to effectively run a public company. We are excited about our partnership with Tetris, bringing Ogluo to patients in Europe and the potential revenue and cash flow this arrangement represents for Xeris in 2022 and beyond. We anticipate that we will continue to incur transaction-related expenses associated with the potential acquisition of Strongbridge Biopharma, and we look forward to closing on the acquisition in early Q4. 
 I now will turn the call back over to Paul. 
Paul Edick: Thanks, Steve, and welcome to the role. Before we open up for Q&A, owing to our rather large retail investor segment, we thought it would be helpful to address a few of the frequently asked questions that we get on a regular basis. 
Paul Edick: Number one, and the one we've gotten most frequently of late. Why do the Strongbridge acquisition? 
 I think at the end of the day, a better question would be, in my mind, why not? We're frequently asked from analysts and investors what we're going to add to our bag in order to complement Gvoke. This should be viewed as the perfect answer to that question. And the acquisition of Strongbridge Biopharma is perfect for Xeris. 
 As I stated in my remarks, the resulting pro forma company will have 2 growing revenue products producing assets in 2 therapy areas. We'll move into rare disease and specialty. We have a potential product launch in our core endocrinology franchise on the horizon. 
 The launch organization is significantly larger than Strongbridge would have been able to assemble on a stand-alone basis. We will have a stronger balance sheet, and we will recognize potentially $50 million-plus in synergies. I think that is the perfect acquisition for our company. 
 Second question we get on a regular basis in the last year or 2. Why do you believe COVID-19 pandemic is still impacting your business? 
 There's no question that the pandemic over the last 18 months has had a significant impact on our business in general and on the launch of Gvoke specifically. Like it or not, what I'd say is this absolutely remains the case today. We're all seeing stores and restaurants open and full of people. I will tell you that's just not the case in doctors' offices so far. 
 The rate of opening of endocrinology offices, access to physicians in those offices that are open, and time with prescribers remain below pre-pandemic levels. I can't emphasize enough that offices, open patient visits, diagnoses and prescriptions written in the second quarter were still not back to pre-pandemic levels. We've been doing everything -- we continue to do everything virtually since March of 2020. 
 In fact, for the first time in 17 months, we had 100% of our field reps back in the field, predominantly face-to-face with meetings in July. I believe that our organization -- and I congratulate our entire commercial organization for an amazing job over the last 18 months, doing their job virtually. And you can see that everyone is thrilled to be back out calling on doctors in person. And we hope that, that continues well into the second quarter. 
 We hope that the Delta variant doesn't knock us back on our heels and close offices again or begin to close offices again. But at the end of the day, who knows, we're looking forward to a strong second half, and we hope that the COVID-19 experience is somewhat behind us. 
 The third question we get recently on a regular basis. Why did you take so long to get an EU partner? 
 It was, in fact, a rather short process, by any standards. As I explained in my prepared remarks, with approval at the end of the first quarter of this year, we adjusted our strategy to look for a commercial partner, and we're able to announce a partnership just 3 months later. So -- and we're very happy with Tetris. We think they're going to do a great job. 
 The other question we get a lot is, why will it take until year-end to launch in the U.K. and well into 2022 to launch in additional countries? 
 The first launch will, in fact, be 5 to 6 months from the deal signing. And I want to make sure everybody understands that the process in the U.K. and the EU is very different from here in the U.S. In these territories, in order to get reimbursement, you need to get government pricing approval and reimbursement approval in each country, which takes several months. In addition, we have not invested in translating patient materials into various languages, which our partner will have to do before the product can be manufactured for distribution. 
 And Lilly, just as an example, they're a very large standing commercial organization in the EU. We're approved in December of '19, and their first commercial launch in Germany was approximately 3 to 4 months later, with subsequent launches in each additional countries over the balance of 2020. So it's a fairly standard procedure in EU -- U.K. and EU in order to get a drug out to the market. 
 The other question we get on a regular basis is why have we waited so long to do something with a mini- and micro-dose glucagon programs? I think we addressed that in our remarks. Without a specific agreement with the FDA on clinical trial design, the size, timing, complexity and costs and feasibility of clinical trials really can't be determined. We finally have what we needed from the FDA in July and have done the analysis and announced today what our intentions are. 
 And then the other question is, when are we going to see a partner on diazepam and pram-insulin? As I mentioned, those were never specifically for our further development, always for partnering. And we stated several times that the level of these programs, the most important thing to these programs is proving our technology beyond glucagon, proving our technology to be broadly applicable, which we have. And we started the outreach on both programs and we'll see over the next many months if we're able to get a partner. In the meantime, we won't be spending additional resources on those assets. 
 So hopefully, that answers some of the questions we get on a regular basis. We're happy to do it. We appreciate all of our -- all of the owners of Xeris stock and we're happy to try to address as many of their questions as possible. 
 Now with all that said, our near-term focus continues to be on driving Gvoke during this important back-to-school season, closing the Strongbridge Biopharma transaction and seamlessly executing on the integration of the organization and its products, planning for potential approval and launch of RECORLEV in early 2022 and reprioritizing our pipeline as we position the company for long-term product development and commercial success. 
 And once again, I want to thank everyone for listening this morning. I'll remind you that we do have John Johnson and Rich available from Strongbridge to answer questions. And I'll open it up for -- ask the operator to open it up for questions at this time. 
Operator: [Operator Instructions] Our first question comes in from Difei Yang of Mizuho Group. 
Difei Yang: So Paul, I was wondering if you are able to comment on the $0 co-pay card, the usage trended over the past several quarters. And how should we think about the co-pay card, the $0 co-pay card on a move-forward basis? It looks like it's a central component for executing the commercial strategy. 
Paul Edick: Thanks, Difei. I appreciate the question. The $0 co-pay was initially a launch incentive and it has become a central part of our ongoing commercial process with Gvoke. The usage has remained relatively steady over time, and we continue to see it. It's one of those things where the pandemic has really had a devastating effect on a lot of people, especially in this community. And we just think it's important to do whatever we can to continue to maintain the easiest access possible to Gvoke. 
 There are 6 million -- over 6 million people with diabetes who are on insulin. Every single one of them should have a prescription for glucagon. Obviously, we hope it's Gvoke. And we want to -- we continue to want to make it as easy and as affordable as possible. We reevaluate the $0 co-pay on a quarterly basis. And at some point, we may make a decision to discontinue. But for the time being, it's the mainstay of our process. 
Operator: Our next question comes from David Amsellem of Piper Sandler. 
David Amsellem: So just a few. First, you mentioned Delta COVID. Anything you are hearing anecdotally in the field about more restrictions? And anything that you think could be negatively impacting your Gvoke business? And just overall thoughts on what you think the back-to-school season is going to look like and how we should think about quarterly cadence in the second half of the year. That's number one. 
 Number two, just general thoughts on the impact of the Zealand product, Zegalogue. And how do you think that product fits into the market, if at all? If you think it will have any impact whatsoever, just wanted to get your latest thoughts there. 
 And then lastly, with Strongbridge coming onboard, how are you thinking about your delivery technology and bringing more proprietary products into the clinic? 
Paul Edick: Thanks, David. I really appreciate it. Several excellent questions in there. Let me start with restrictions. I think we are seeing health care systems across the country beginning to mandate that people are -- well, they've always mandated masking, So -- and that continues. But that doesn't hinder our reps. 
 Many, many health care systems are now mandating vaccination in order to get access. So we're diligently working to make sure that our organization is vaccinated. I think, as a company, we're about 90% vaccinated right now. And obviously, there's people here and there that have health issues, et cetera, that really cannot get vaccinated right away. So we're working diligently on that to work with the health care systems in order to be vaccinated. So that's not hindering us at this point. 
 As I mentioned in my remarks, endocrinology offices aren't as open as we're seeing our society open. So there continues to be that access issue. And we've been fighting that for now 17 months. We continue to fight it. But the good news is we're back out in the field. We're seeing a lot of physicians face-to-face. And it's very refreshing, actually, to be back out there and calling on doctors. But it's still not back to pre-pandemic levels. I won't mislead in any manner. It's still a little bit of a struggle. 
 You mentioned back-to-school. Every indication is that across the country, kids are going to go back to in-person schools. But with the resurgence of the Delta variant, it's anybody's guess what's really going to happen at the end of the day. So what I've been saying, David, is the normal spike that you see in the third quarter, you saw in 2017, 2018, 2019, and then in 2020, you saw kind of a dome, and it was a really muted back-to-school. I think the third quarter is going to look more like last year than those spikey years, to coin a phrase, spikey. Sorry. I just don't think it's going to be back to pre-pandemic levels. 
 And the leading indicators for our business, Gvoke, are strong. But we're kind of waiting to see that kind of hockey stick that you see in August on a normal basis. And we'll see. We're working as hard as we can. We're focusing on pediatric endos. They drive this business at this -- during the third quarter. And for everybody's consumption, the third quarter is the largest quarter usually, by far, of any quarter in the year. Then you see this drop in the fourth quarter, like we saw last year and in previous years. And then you see it sort of trail into the first quarter and then it starts again. So I think it's gone be better than last year, but the degree to which it's how much better. I don't know. We're still waiting to see. 
 And you mentioned the quarterly cadence. That's kind of what you see. You see the first quarter was a little bit muted coming out of the holidays, and then started to grow. Second quarter was really strong. Third quarter should be the best of the year. And then you'll see a seasonal drop off in the fourth quarter. And that's how glucagon goes, it has for many, many, many years. 
 Zealand. I think the most important thing about all of the competitors, Lilly, Zealand and us, is that we're all on message. And that message is, there are over 6 million people with diabetes who are on insulin. They should all have glucagon or ready-to-use glucagon in some form. And we're all sending that message. So I think that's a really positive thing for the community. I think it will help the overall market growth at the end of the day. 
 And when you start getting down to product attributes, we think the Gvoke HypoPen is clearly the best product out there. The nasal has its drawback. And a lot of people don't like nasals. And the Zealand product has to be refrigerated. You can now carry the Gvoke HypoPen or the Gvoke prefilled syringe, the 1 milligram, the adult version, you can carry it around for 30 months, 2.5 years. So clearly, the best option for placing it into your environment in case of emergency. 
 And then the Strongbridge acquisition, and we're going to, once we combine the companies, and we're up and running and we're really efficient in both endocrinology and neurology and rare disease, we're going to look at how can our fundamental technologies, our formulation chemistry, how can we bring more products to supplement those products and build out those therapy areas. And as you know, when you look at our pipeline chart, we've got product in gastroenterology that we're moving forward. We're going to look at products that we can potentially develop in that area as well. So in time, we'll continue to focus primarily on endocrinology, rare disease and neurology, and then we're going to be moving into gastroenterology as we fill up our pipeline. 
 So hopefully, I answered all of the questions in there. I really appreciate that, David. 
David Amsellem: Yes, very helpful. 
Operator: We have no further questions. I will hand it back to Paul Edick for closing remarks. 
Paul Edick: Thank you to those who asked questions. Hopefully, our prepared questions helped a lot of people that are e-mailing and texting us and looking for answers on a regular basis. We're happy to provide as much information as we can. We appreciate everybody listening. And I want to thank you and wish you all well. Good day. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.